Operator: Thank you for standing by. My name is Brent and I will your conference operator today. At this time, I would like to welcome everyone to the SS&C Technologies’ Fourth Quarter and Full Year 2021 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session.  Thank you. It is now my pleasure to turn today’s call over to Justine Stone, Head of Investor Relations. Please go ahead ma’am.
Justine Stone: Hi, everyone. Welcome and thank you for joining us for our fourth quarter and full year 2021 earnings call. I’m Justine Stone, Investor Relations for SS&C Technologies. With me today is Bill Stone, Chairman and Chief Executive Officer; Rahul Kanwar, President and Chief Operating Officer; and Patrick Pedonti, our Chief Financial Officer. Before we get started, we need to review the safe harbor statement. Please note that various remarks we make today about future expectations, plans and prospects, including the financial outlook we provide, constitute forward-looking statements for the purposes of the Safe Harbor provisions under the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those indicated by these forward-looking statements as a result of various important factors, including those discussed in the Risk Factors section of our most recent annual report on Form 10-K, which is on file with the SEC and can also be accessed on our website. These forward-looking statements represent our expectations only as of today, February 10, 2021. While the company may elect to update these forward-looking statements, it specifically disclaims any obligation to do so. During today’s call, we will be referring to certain non-GAAP financial measures. A reconciliation of these non-GAAP financial measures to comparable GAAP financial measures is included in today’s earnings release which is located in the Investor Relations section of our website at www.ssctech.com. In the third quarter of 2021, we entered into a joint venture named DomaniRx LLC, which we are the majority interest holder and primary beneficiary. All earnings figures discussed today, including operating income, EBITDA, net income and EPS are attributable to SS&C based on the ownership interest retained by SS&C. I will now turn the call over to Bill.
Bill Stone : Thanks, Justine, and thanks, everyone, for joining. Our results for the fourth quarter are $1.296 billion in adjusted revenue, up 7.5%; and $1.28 in adjusted diluted earnings per share, up 13.3%. For the year, adjusted revenue was $5 billion and $589 million, up 8.1% and adjusted diluted EPS was $5.02, up 16.7%. Adjusted consolidated EBITDA was $522.9 million for the quarter and our EBITDA margin was 40.3%. Our fourth quarter adjusted organic revenue was up 6.9% ahead of our expectations, our alternatives that Intralinks businesses continue to drive our top line growth growing at 12.9% and 23%, respectively. As I mentioned in our earnings press release, the pandemic and its impact on the labor force and put pressure on our costs. Much of our R&D efforts are diverted towards automation and efficiency in our services business and these productivity gains just counteract the pressure from higher labor costs. At same time, the great resignation is drawing attention that the highest levels of fund companies causing many to consider third-party administrators. This creates opportunity. We continue to see shifts in talent across the industry. Firms within house operations cannot hire talent fast enough. And our competitors are not able to replace talent or meet the needs of scaling their businesses. We see this phenomenon worldwide and we expect it to be a catalyst for outsourcing services as well as clients being willing to invest in technology. 2021 was a record breaking year for M&A, propelling our Intralinks business to new heights while our execution generated market share gains. Global M&A volumes topped $5 trillion for the first time ever, comfortably eclipsing the previous record of $4.55 trillion. Based on publicly announced deals, we gained 5% market share in the M&A market. Our current forecasts based on the survey of over 300 dealmakers and the majority expected level of M&A activity to increase in 2022. SS&C generated net cash from operating activities of 1.429 billion for the 12 months ended December 31 2021, up 20.6% or $244 million from 2020. We paid down $519.9 million of debt in 2021 and our leverage ratio stands at 1.72 secured and 2.69 total. Our shareholder friendly capital allocation strategy remains a top priority. In 2021, we bought back 6.8 million shares, an average price of 71.74 per share, for a total of $487.9 million. We were restricted from buying backs back in Q4, 2021, due to material nonpublic information related to the group Blue Prism acquisition. In November, the Board approved a 25% increase in our quarterly dividend payout, now at $0.20 per share. We are still limited to what we can say regarding the Blue Prism acquisition. We’ve made good progress with regulatory approvals and expect to close in Q1 or Q2. For more background on this acquisition and information on our strategic rationale, please refer to our steam document. I will now turn the call over to Rahul to discuss the quarter in more detail.
Rahul Kanwar: Thanks Bill. Sales execution, market strength and collaboration across our business units have been key drivers to this year’s performance. Our business performed extremely well and we made great progress on new technology, which will set us up for further success. We continue to focus on the innovation and Algorithmics our clients front-office operations can now achieve nanosecond response times for pre-trade deal checks. Algorithmics integration with singularity has led to new wins and increased pipeline. Chorus, our automated workflow solution has released a new workforce optimization tool focused on in-office remote and hybrid management to improve productivity and provide insights. Newly created SS&C Trust Suite combining Black Diamond and  under single contract and commercial model was sold to the first client. On the healthcare front, DomaniRx has been making great strides in building our cloud native API driven claims adjudication platform. Now I will mention some key deals for Q4. A top health insurance company chose singularity outsourcing services for their investment accounting operations. At $8 billion in AUM hedge fund chose a suite of global middle and back office services citing our ownership of technology as a key component to the win. A premier financial services firm chose our mutual fund serve accounting and all serve solution to efficiently scale and grow their new business. A $4.5 billion AUM asset manager based in Kuwait, chose a suite of Advent Geneva products. A $7.5 billion AUM trust company chose a suite of Advent cloud delivery products due to our overall solution for equity and fixed income. In New York based hedge fund, with a firm wide objective to move to the cloud, upgraded their trading operations to Eze Eclipse. The pension and investment arm of one of the Canadian provinces chose to upgrade to our newest investment accounting solution Aloha. A large Malaysian insurer also chose Aloha and our vision reporting solution. I will now turn it over to Patrick to run through the financials.
Patrick Pedonti: Thank you. Results for the fourth quarter of 2021 were GAAP revenues of $1 billion and $294.2 million, GAAP net income of $250.9 million and diluted EPS of $0.94. Adjusted revenues were $1 billion $296.2 million, including the impact of the adoption of the revenue standard 606 for acquired deferred revenue adjustments or acquisitions. Adjusted revenue was up 7.5%. Adjusted operating income increased 10.6% and adjusted EPS was $1.28, a 13.3 increase over Q4, 2020. Revenue shows strong growth with strength across several product lines including the alternative asset business, advent, apps, brokerage and the Intralinks businesses. Adjusted revenue increased $90.1 million or 7.5% over Q4, 2020. Our acquisitions contributed $10.5 million in the quarter. Foreign exchange had a favorable impact of $0.8 million or 0.1% in the quarter. Adjusted organic revenue increased on a constant currency basis was 6.9% in the quarter. Adjusted operating income for the fourth quarter was $507.5 million, an increase of 48.7 or 10.6% in the fourth quarter of 2020. Adjusted operating margins increased from 38% in the fourth quarter of 2020 to 39.2% in the fourth quarter of 2021 driven by revenue growth and cost controls. Expenses increased 4.2% on a constant currency basis. Acquisitions added $8.6 million expenses and foreign currency increased cost by $0.7 million. Adjusted consolidated EBITDA defined in note three of our earnings release was $522.9 million or 40.3% of adjusted revenue, an increase of $47.1 million or 9.9% from Q4, 2020. Net interest expense for the quarter was $49 million and includes $3.2 million of non-cash, amortized, financing costs and OID. The average interest rate in the quarter for our credit facility, including on senior notes was 3.09% compared to 2.99% in the fourth quarter of 2020. A reduction in the debt balance resulted in interest expense decrease of $4.1 million or 8%. Adjusted net income defined in note four of our earnings release was $341.3 million and adjusted EPS of $1.23. And the effective tax rate used for adjusted net income was 26%. Diluted shares increase 267 million from 266.5 million in Q3 as a result of an increase in the average share price and option exercises. On our balance sheet and cash flow, we ended the fourth quarter with $564 million of cash and cash equivalents and $6 billion of gross debt. SS&C’s net debt as defined in our credit agreement, which includes cash and cash equivalents of $139.5 million held by, DomaniRx LLC was $5.6 billion as of the end of the year. Operating cash flow for 12 months was $1.429 million, a $244 million or 20.6% increase compared to 2020. And for the 12 months ended December 31, for the full year, we allocated proportionally to our free cash flow to both stock buybacks and debt payments. Treasury stock buybacks were $487.9 million for purchases of 6.8 million shares at an average price of $71.74 per share. And that compares to $227.7 million of treasury buybacks in 2020. In July 2021, the Board authorized a new stock repurchase program for up to a billion dollars in stock buybacks. We have approximately $837 million remaining on that authorization. Net debt payments were $519.9 million, compared to $738.2 million in 2020. We declared and paid $174 million of common stock dividends as compared to $136.1 million last year, an increase of 27.8%. For the full year, we paid income taxes of $310.4 million and that compares to $244.4 million in 2020. Our accounts receivable DSO was down to 49.5 days compared to 50.8 days as of September 2021, and 48.4 days as of December 2020. Capital expenditures and capitalized software was $136.6 million, just about 2.7% of adjusted revenue compared to $106.4 million in 2020. Spending was predominantly for capitalized software and IT infrastructure. Option exercise proceeds for the year were $197.7 million for 5 million shares compared to $189.7 million for 6.3 million shares last year. Our consolidated EBITDA which are used for our covenant compliance was $2.66 billion and includes $1.3 million of acquired EBITDA and cost saving related to acquisition. And based on that data $5.6 million, our total leverage ratio was 2.69 times and our secured ratio was 1.72 times. On our outlook for the year, I will first cover some high level assumptions. As we’re focusing on client services, we expect retention rates to continue to be in the range of most recent results. Pending acquisitions are not included in our current 2022 guidance. We have assumed foreign currency exchange will be at the current levels. As a result of adjusted organic growth for the year will be in the range of 2% to 6% and adjusted organic growth for Q1 will be in the range of 1.9% to 5.1%. On interest rates, we have assumed for the near term, it will be 30 Day LIBOR plus the spread of 175 bips. In mid-year and the latter part of the year, we’ve assumed that three-month to six-month LIBOR plus the spread. We expect staff costs to increase due to continued wage inflation. And we will manage our expenses during this period by controlling variable expenses to maintain our operating margins and we will continue to invest in our business for capital expenditures of approximately 2.8% of revenue. Now free cash flow, we will continue to allocate both to debt pay down and stock buybacks and we expect the adjusted tax rate to continue to be approximately 26%. So for the first quarter of 2022, we expect revenue to be in the range of $1.258 billion to $1.298 billion. Adjusted net income in the range of $326 million to $343.5 million and diluted shares in the range of $268.3 million to $267.8 million. For the full year of 2022, we expect revenue in the range of $5.130 billion to $5.330 billion Adjusted net income in the range of $1.375 billion to $1.445 billion and diluted shares in the range of $269.5 million to $267.5 million. And in our operating cash flow, we expect the full year to be in the range of $1.440 billion to $1.510 billion. And I’ll turn it over back to Bill for final comments.
Bill Stone: I’m proud to announce that we have completed our SS&C’s private cloud SOC-1. And we are very close to our SOC-2 on our private cloud which we expect to have within a week. These types of audits require an enormous amount of coordination and commitment. Not only have we delivered on our contractual commitments to customers, but our sales staff is busy showing prospects. We are one of the first companies with a SOC-1 and SOC-2 certified private cloud offering. Stay tuned as we rollout products and services which utilize this hyper secure, robust and lightning fast technology. I’ll now open it up for questions.
Operator:  Your first question comes from a line of Michael Young with Truist Securities. Your line is open.
Michael Young: Sorry about that. I was having a bit of an issue with my view button as well. Thanks for taking the question. Just maybe wanted to start with the commentary about the staff costs increases and trying to offset those with some other cost savings. Just as we kind of look forward to next year with the kind of the revenue guide in-line with current expectations. Should we think of kind of the EBITDA margin as normal, kind of slight expansion year-over-year? Or do you think there will be some pressure on that given kind of some of the dynamics with inflation?
Bill Stone: Well, I mean, we’re not immune. We are in businesses that our employees are highly sought after, and they’re a great team. And the raises and bonuses are going to be larger and more frequent. But, we also are going to have lots of productivity gains and we think that we will be able to stand our margins in the 50 to 75 basis points. And if we get a little tailwind, maybe we’ll do a little better.
Michael Young: That’s helpful. And maybe just as a follow up, as we kind of think about maybe the business as a whole or specific business lines, how much does kind of inflation play into contract pricing and how much of a tailwind should we be expecting as a part of that next year?
Bill Stone: Well, our customers are like Truist and other sophisticated users of technology, and financial accounting, and investment accounting, and reporting and tax accounting and reporting. So they’re aware. They are aware that our costs increase, and they want to keep the same staff as we have on our clients. And that’s what really gets our people to work hand in glove with our clients. And so, people understand when costs go up, prices have to go up. And I think that is something that we are very cognizant of and we have focused on it for the last two or three years. And I think that nobody likes price increases, people certainly understand.
Operator: Your next question comes from line of Surinder Thind with Jefferies. Your line is open.
Surinder Thind: Thank you. Bill, I’d like to start with a question about the revenue guidance for next year. It sounds like the adjusted organic growth is going to be in the 2% to 6% range for the full year. Can you put that in the context of Investor Day, where you talked about 4% to 7% longer term? Is it near term headwinds that you’re seeing or clients thinking about delaying projects? How should we think about what we heard at Investor Day a few months ago versus what the guide is currently?
Bill Stone: Well again, we’re trying to maybe be a little conservative, but certainly be realistic, and make sure of it. It’s a pretty uncertain time right now with the speculation on interest rates, the regulatory environment is constantly changing. And when you see as much M&A activity as you do today, lot of times our clients can merge to. So we work to be realistic, and we’ve been able to supply positive lead for a few quarters. And I am hoping that a bunch of business comes in. We have full pipelines, we got great products coming out. So we have some optimism, but we also want to temper that with realism.
Surinder Thind: That’s helpful. And then, as a follow up to the earlier question about, it sounds like you’re still expecting to be able to expand margins by about 50 to maybe 75 basis points this year. Is there a bridge that you can provide us there in the sense that, obviously there is wage inflation and then, are you able to pass most of that or some of that costs on to clients? Or how should we think about that versus the productivity initiatives at this point? Just trying to get an idea for the balance of how to think about the push pull on margins at this point?
Bill Stone: Well, I mean, again we don’t control inflation and like everybody, we, I think last year hired 5.7 thousand people. So that’s a lot of people and so that’s a lot of training. And that’s a lot of education and that’s a lot of administration. So our costs are going to go up and when it’s inflationary, they’re going to go up more. And we’re going to compete, and we’re going to compete hard. And we’re going to deliver superior service to our clients. And in a period where we believe that a number of our competitors are going to deliver inferior service. And that’s the opportunity and that’s one of the ways in which our rates go up, and our price is firm, our margins are going to go up. And Rahul, you might have something to add.
Rahul Kanwar: Bill, in addition to the productivity and the labor force dynamics that you covered, we still have some opportunities on things like enterprise contracts that are coming up for renewal, and third-party software and discretionary spend. So in addition to obviously making sure that we’ve got highly motivated employees that are continuously innovating and making our processes better, we also keep looking at other areas in which to control costs, and all of those things together ought to result in some margin improvement.
Surinder Thind: That’s helpful. Thank you.
Operator: Your next question comes from the line of Peter Heckmann with D.A. Company. Your line is open. 
Unidentified Analyst: Thank you. Hi, this is John on for Pete. Just quick one. Within fund administration have you guys seen any change in the competitive dynamics over the last year?
Bill Stone: Well, I think if you look at the -- it’s a league tables, you’ll see that APAC is buying everything in sight. And so they’re getting larger and they’ve done a number of acquisitions, they got a couple of them left on the limb to finish I think. But acquisitions are challenging and my guess is, it’s challenging for them. So other than what they have done, I don’t think there has been that much of a difference in our competitive landscape. Would you agree with that Rahul?
Rahul Kanwar: I would Bill. I’d also say, if you look at our growth rates, our business is accelerating. So the other change in dynamic is that as we continue to build products and services and get more and more scale, our ability to compete and enhance that win rate, it just gets a little bit better every year. And that’s what we saw this past year.
Unidentified Analyst: Got it. I know the acquisitions aren’t included in the current 2022 guide. But just wondering, how should we look at the potential contribution of  shares EPS and Hubwise deals?
Patrick Pedonti: It’s Patrick, I think, why this is fairly small and might be around $8 million in revenue. And no shares might be around $20 million revenue.
Unidentified Analyst: Got it, thank you so much.
Patrick Pedonti: They’re both not included as we indicated.
Operator: Your next question comes from line of Andrew Schmidt with Citi. Your line is open.
Andrew Schmidt: Hi guys, thanks for taking my questions. I like the slide you have in the investor deck is just organic growth by business. It highlights the good growth in the alternatives business in 2021. So, I was wondering if you could talk about the expectation within the organic growth guidance for alternatives for 2022. And particularly, how you think about potential, we do see market volatility continue, what impact it could have on that business? Thanks.
Patrick Pedonti: It’s Patrick, I think at the midpoint of our guidance, we expect the fund administration growth, they’re in the high single-digits for 2022. So, continued to be higher than historical.
Bill Stone: And there has been volatility at different times, if you look at the chart of our capital markets, our capital movement indicator that we publish every month, since 2011, I think it’s almost a straight line north. So, I think that the talent in the alternatives business match to the breadth of investments and strategies that that talented group of people have, I think bodes well for the alternatives. We see nothing but increased interest from very large scale fund companies, from very large scale institutions and very large scale sovereign wealth funds and government. So, I see if anything that in our guidance and stuff that are alternatives. Guidance might be the most conservative of all.
Andrew Schmidt: Got it. That’s pretty constructive. I appreciate that. And then, just in the fourth quarter and maybe in the first quarter, Omicron have an impact on sales pipeline or deal closing. Just wondering if it might have temporarily slowed things down which might imply some pent-up demand at some point in the first quarter into the second quarter? Thanks.
Bill Stone: Well, like everything, right. Everything is Omicron related. There aren’t any mobile desk anymore, they are all some Omicron or some other COVID derivatives. But I think that 6.9% organic growth offer a pretty good Q4 of 2020, is pretty solid. And I think -- as I think Surinder said before, our four to seven that we talked on our Analyst Day, that’s just the high-end of the four to seven, and we again are focused on organic revenue growth. And even the acquisitions that we’ve done are really, we think are going to be very additive to our product offerings in the scope and capabilities that we’re going to be able to offer across our entire product line.
Operator: Your next question comes from Jackson Ader with JPMorgan. Your line is open.
Jackson Ader: Great. Thanks for taking my questions, guys. The first one is on Blue Prism. It’s kind of has a different financial profile and some of the other recent acquisitions that you’ve made. So, just curious any initial thoughts on what the integration or strategy after closing might look like relative to some of the different acquisitions that you’ve made in the past?
Bill Stone: Yes. Yes, we’re really not in any position to comment on Blue Prism. And the London and U.K. takeover board frowns  for us to say anything. So, we think that that should close in Q1 or Q2 and we’ll be happy to set up a call with you at that time.
Jackson Ader: No big deal. I felt like I had to ask. And then the follow-up questions and with retention rates and AUA, both kind of ticking down. I’m curious how much then impact maybe the low retention rates add-on on assets versus maybe market factors?
Bill Stone: Yes. I don’t think -- we’re going to get a little bit of fluctuation with our AUA both with market values. And then also when certain clients launch new funds or even shutdown funds. And I do think we had one sovereign wealth fund with a lot of assets, but very few services. So, the amount of a drop could have been $30 billion, $40 billion, $50 billion, but I don’t think we made very much money on it, because they didn’t take very many service, right? So, we don’t do that as much of a headwind. And I think in first quarter of 2020, we were $2.150 billion and we’re not at $2.17 . I think. So, I think we have a very strong business and it’s getting stronger.
Jackson Ader: Okay. Alright. Thank you.
Operator: Your next question comes from the line of Chris Donat with Piper Sandler. Your line is open.
Chris Donat: Good evening. Thanks for taking my question. Bill and Rahul, I just want to follow-up on that last one about the AUA. Just looking at Slide 12, I was a little surprised at the reduction quarter-on-quarter on AUA, and Bill you just made the comment at the sovereign wealth fund. And I know you got a higher mix of fixed income assets and probably equity focused people like me think about. But can you just help me understand the sequential decline. And again, I’m equity biased. So I think about the S&P 500 being up like a 10.5% in the fourth quarter. So, I’m probably looking at the wrong fraction of the benchmark.
Bill Stone: Yes. Again, like I said, we’re going to have some fluctuation in this. But I would say, over time we have really grown our PLA I think the first quarter of 2020. We were at a $1.750 trillion and now we’re up almost $500 billion in two years. And if you looked at the league tables and yes, I think $500 billion, you get to be about fifth, and the league tables, it’s the fifth or sixth. And so, if -- and I think that was up, I mean, Rahul what’s up -- Middle East ?
Rahul Kanwar: Yes, that’s right. So, there is one sort of a one-off in there, we’re just like Bill just said, there is a nearly $50 billion AUA in a single customer that paid us less than a $1 million a year. And so, that’s the -- that I think is the biggest reason. The underlying other metrics on new funds, new business that we have won, performance driven growth, things like that continued to be in line with historical averages.
Chris Donat: Okay, thanks.
Bill Stone: And we would comment a little bit that we have very strong pipelines and we have a very strong salesforce and their executing.
Chris Donat: Okay. Thanks for clarifying that one. And then for Patrick, I would also I’d appreciate the organic growth by business broken now. Just thinking about the software businesses and DST’s financial, are the organic growth rates for 2021 probably the best way to think about growth rates for 2022?
Patrick Pedonti: I think so. I think the metric changes we’ll see in 2022 is we’re expecting a decline in our healthcare business in 2022. And currently, we expect the growth rate of Intralinks to continue to be double digits, but not as high as 2021. And the vast majority of the other product lines would be pretty similar.
Chris Donat: Okay. Thanks very much, Patrick.
Operator: Your next question comes from the line of Kevin McVeigh with Credit Suisse. Your line is open.
Kevin McVeigh: Great. Thanks, so much. Well, I wonder if you could just talk into the revenue guidance for 2022. It looks like the range is 2% to 6%. Last year, it looks like the range was about 200 basis points from the low to the high end. Any sense of the puts and takes on what we get it to the low end this year versus the high end and why you widened out the range a little bit?
Patrick Pedonti: I think the range in 2020 was somewhere around a $180 million and now its $2 million, that will take us how much different that from what I recall.
Kevin McVeigh: Okay. And maybe I --.
Patrick Pedonti: In absolute terms.
Kevin McVeigh: Okay. Maybe, I may take it up.
Patrick Pedonti: That’s what I recall, but I can get back to if you want.
Kevin McVeigh: Okay. Maybe follow-up of one.
Patrick Pedonti: Okay. 
Kevin McVeigh: Can you just remind us of the seasonality. I know there’s some year-end works things like that. How did that fall into the first quarter in terms of the filings and things like that. Is there any way to think about what the impact is on the quarter in that?
Bill Stone: Well, there’s a little more tax in financial statement works in the first and second quarters than third and fourth quarters. I think that’s the primary seasonality that we have. Is that right, Rahul?
Rahul Kanwar: That’s right, Bill. And the other one is just there tends to be a little bit more license in Q4.
Kevin McVeigh: Great. Thank you.
Operator: Your next question comes from the line of Jason Faucette with Morgan Stanley. Your line is open.
Unidentified Analyst: Hey, this is Jonathan on for James. I appreciate the color here. Can you provide an update on sort of the M&A environment from what you’re seeing obviously, you’re weighing on two deals to close? Whether you see any other attractive targets in the market and sort of what assets would you be looking for from a capability or geographic perspective?
Bill Stone: Yes. I think there is a number of properties that are in the market or coming to the market that we will have some interest in. Fintech has kind of reset as far as price is concerned if you look across the horizon. So, a number of fintechs that we’re trying to get public, then get it out and some of the ones that cut up early in the year have kind of come back to just moderate nose bleed levels instead of extreme. So, that gives us a lot more stuff to take a look at. So, at the same time, right, we’re going to push hard to get that organic revenue growth up. And so, the acquisitions have to have a higher hurdle. And we have a lot of people that want to do acquisitions within SS&C, but they recognized that if they don’t have organic revenue growth, we don’t have much capital for their acquisition plan. So, it’s trying to have it disciplined in the process that everybody understands that we always want to back our best businesses.
Unidentified Analyst: Thanks for that color, Bill. And I want to build on some of the questions that I’ve been already been asked around sort of pricing environment and wage inflation. How do you thinking about the magnitude timing of price increases through the year and just given some of that wage inflation you see in market?
Bill Stone: Yes. I mean -- Jonathan, that’s a great question. And it is one that we’ve given a lot of thought to and we’re trying to figure out different ways in which to make SS&C a great place for work. Make sure that we pay very well and that we’re extremely competitive. And so, on that side that is just what the labor market demands and it’s something that we’re well aware of it. It’s a lot of way that’s running a business. And when your cost go up, if you don’t send your prices up, obviously your margin is going to get hammered. So, we’re not that anxious to getting hammered. So, we’re focusing on those things and working hard with our clients to make sure that when they have issues that they need to have solve that it’s our number they call. So that -- and as you see we came out with a press release, I think a week ago or so and about our treasury management system. And we just did a seminar I think today where we had 277 people lined up or find up to come to our webinar on our new treasury management system. We have another product coming out in a very short order for both GoCentral that we’re really excited about. So, we have a lot of stuff happening. And you got to execute, you got to win. You have to have satisfied clients and you has to be upfront and brutally honest with everybody, so that we can get on with doing the things that are necessary to have a business.
Unidentified Analyst: Loud and clear. Thanks, Bill.
Operator: Your next question comes from the line of Alex Kramm with UBS. Your line is open.
Alex Kramm: Yes, hey. Hello, everyone. Just on the healthcare comment from earlier, with the decline, hopefully I got this right. But can you flush it out a little bit more, I mean, very recently you’ve sounded super bullish on that business. So, just want to make sure I didn’t miss anything there. And then maybe related, I think you are hoping to get some more partners into the Domani JV. So, maybe any updates there will be great?
Bill Stone: Yes. I mean, we remain very optimistic. We have a number of people that are trying to become partners. And customers, we have knock on wood, have some lot of progress on the development side. And so, we’re optimistic about that. And hopefully, we will have some announcements on healthcare over the next quarter or two that are quite positive. Is that how you would look at it, Rahul?
Rahul Kanwar: That’s right, Bill. We were making -- we’re making a really good progress on the new system that we’re building and have lots of great support from our partners.
Alex Kramm: And in regards to the decline, why this business going to be down this year, remind me please?
Rahul Kanwar: There’s some attrition on the medical claim side. So, Domani is very focused on pharmacy. And on the medical claim side, we have some attrition and some we’ve known about and we’re going to need to overcome that this year.
Alex Kramm: Yes, okay, thanks. Thanks for the reminder. And then just real quick in terms of capital allocation, not sure if this came up already. But I know obviously got Blue Prism here soon. But outside of that given the cash flow that you’re throwing off, we delivers decently. Like so, should we assume buybacks can continue at a pretty attractive pace or how should we be thinking about the remainder of the cash in excess of any deals?
Bill Stone: Yes. Again, Alex, we’re trying to be as wise as we can be. I would guess given that the term market is still pretty strong. The high yield market not as. So, I would imagine that we will be pretty active in buying back our shares. And we’ll still pay down a good amount of debt. And obviously, we’re not paying down our 2% debts, so we can just refinance it on Blue Prism at 3% or 3.5%. So, we have a hoard of cash that we’ll use in closing these acquisitions. And then -- but we’re still generally like as you saw, we generated almost a quarter of a billion dollars in cash above what we did in 2020. So, at a $1.429 billion you have an awful lot of flexibility and awful lot of optionality.
Alex Kramm: Very good. Thank you very much.
Operator: Your final question comes from the line of Patrick O’Shaughnessy with Raymond James. Your line is open.
Patrick O’Shaughnessy: Hi, good evening. On the M&A front, do you think getting a regulatory approval for larger acquisitions is going to be incrementally more challenging going forward given the current stance of global regulators. Or would you anticipate likely steering clear from extended antitrust reviews?
Bill Stone: I mean, again -- Patrick, we’re not anxious to have antitrust reviews as you could imagine. At the same time, the more attractive an acquisition is, the more dog-in  we will be to close it. And hopefully that’s the way that we drive success in our M&A activities and well, we’re getting big, right, so we’re not going to be able to hide.
Patrick O’Shaughnessy: Got it. Okay. And then staying on the regulatory theme, do you guys have any preliminary thoughts on how the SECs proposal to increase disclosure requirements on private fund managers might offer either opportunities or threats to SS&C?
Bill Stone: I think it’s primarily an opportunity to help our clients with additional regulation and we’re optimistic in our ability to do that.
Patrick O’Shaughnessy: All right. Thank you.
Operator: There are no further questions at this time. I would now like to turn the call back over to Mr. Bill Stone for closing remarks.
Bill Stone: Thanks everybody. We look forward to talk with you at the end of Q1. And stay healthy and stay safe. And we’ll talk to you in 90 days or so. Thank you.
Operator: Ladies and gentlemen, thank you for your participation. This concludes today’s conference call. You may now disconnect.